Operator: Hello, and welcome to the Brink's Company's Third Quarter 2023 Earnings Call. This morning, Brink's issued a press release detailing its third quarter 2023 results. The company also filed an 8-K that includes the release and slides that will be used in today's call. The release and slides are available on the Investor Relations section of the company's website at investors.brinks.com. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference call is being recorded and will be available for replay. This call and the Q&A session will contain forward-looking statements. Actual results could differ materially from projected or estimated results. Information regarding factors that could cause such differences are available in the footnotes of today's press release and in the company's most recent SEC filings. Information presented and discussed on this call is representative of today only. Brink's assumes no obligation to update any forward-looking statements. The call is copyrighted and may not be used without written permission from Brink's. I will now turn the call over to your host, Jesse Jenkins, Vice President of Investor Relations. Mr. Jenkins, you may begin.
Jesse Jenkins: Thanks and good morning. Joining me today are CEO, Mark Eubanks and CFO, Kurt McMaken. This morning, Brink's reported third quarter 2023 results on a GAAP, non-GAAP and constant currency basis. Most of our comments today will be focused on our non-GAAP results because we believe these results make it easier for investors to assess operating performance between periods. Reconciliations of non-GAAP results to their most comparable GAAP results are provided in the press release, the appendix of the presentation and in this morning's 8-K filing. I'll now turn the call over to Brink's CEO, Mark Eubanks.
Mark Eubanks: Thanks, Jesse. Good morning all, and thanks for joining us. Starting on Slide 3. I'm pleased to report another quarter of strong growth in revenue, profit margin and free cash flow as we execute on our strategy. Total revenue was up 8%, including organic growth of 6%. Our cash and valuables management business grew organically 4% and the ATM managed services and digital retail solutions customer offerings were up 18% organically. Operating profit of $166 million was up 38% organically, with margins expanding 230 basis points to 13.5%. Adjusted EBITDA was up 22% with margins expanding 220 basis points to 18.8%. These margins represent historic hikes for the third quarter and reflect the discipline of our teams to deliver strong cost productivity and improved price mix as we continue to ship more of our business to AMS and DRS. I'm happy to report we're well on our way to our year-end free cash flow and leverage targets. Cash generation continues to accelerate, with year-to-date free cash flow up almost 200% from the third quarter just a year ago. The cash generation is strengthening our balance sheet with leverage down two-tenths quarter-on-quarter to 3x adjusted EBITDA at quarter-end. Looking at the key revenue drivers. We delivered solid volume growth in our AMS and DRS offerings and executed strong pricing actions across all lines of business. We've also seen foreign exchange move against us a bit since our last market update with the dollar strengthening considerably across most major currencies where we operate. Margin expansion was highlighted by good progress in North America, where margins expanded 240 basis points year-on-year as we continue to prioritize customer profitability and efficiency across all of our operations. We are leveraging the Brink's business system to further instill our lean culture into our daily work and our operating cadence. Other profitability drivers in the quarter included price realization, improved revenue mix from AMS, DRS as well as restructuring savings. A key highlight of the quarter was our execution on cash generation or the compounding effect of revenue growth and margin expansion are leading to meaningful improvements. Free cash flow in the third quarter was over $150 million. Year-to-date, we have already exceeded the total full year 2022 free cash flow with our seasonally strong fourth quarter still ahead of us. With the last 12-month conversion rates already over our 40% target, we are well positioned to exceed the midpoint of our previous free cash flow guidance. As we have consistently discussed, our capital allocation strategy remains focused on capital returns to shareholders with $106 million worth of share repurchases year-to-date, which is approximately half of our total free cash flow for the year. As we turn to the fourth quarter and our full year guidance, we remain committed to the targets that we increased after the first quarter. We expect volume growth in AMS and DRS revenue, strong pricing execution and continued cost productivity, leveraging the Brink's business system. We are monitoring the macroeconomic risks related to the ongoing wars in Europe and the pressure of high inflation on consumers that could both have an impact on our results. Despite these uncertainties, the structural improvements in working capital and clear line of sight to our remaining cash obligations before year-end allow us to increase our guidance for free cash flow to the high end of our previous range. We believe this guidance actually balances the opportunities and risks that we see as we close out the year. And finally, as we disclosed last week, the continued progress on our strategy, the strong free cash flow performance and the recent share repurchase activity has given our Board the confidence to authorize a new $0.5 billion share repurchase plan over the next two years. Kurt will have more in a few slides on both the guidance and our capital allocation priorities. Turning to Slide 4. I'd like to provide a few more details on the drivers of our performance and our customer offerings. The cash and valuables management core of our business grew 4% organically in the quarter. While pricing growth continues to moderate from the peaks last year in most of the markets we serve, we remain vigilant in our efforts to offset persistent inflationary pressures. Our strong pricing actions more than offset the market softness that we saw in our higher margin global services business. As with other shipping logistics providers, we've seen a macroeconomic slowdown in the handling of precious metals and values. We saw the slowdown across all geographies, but it was most pronounced in our Rest of World segment. We expect this trend to continue into the fourth quarter, offset by the growth in AMS and DRS revenue, which I'll touch on in a second. On the cost side, the Brink's business system continues to drive service improvements and cost efficiencies across all of our segments. In the North American segment, our lean cultural transformation and operational efficiencies are contributing to improved service levels, customer satisfaction and safety metrics. In the third quarter, customer satisfaction improved by approximately 40% over the previous year. A key driver of this improvement was sequential and year-on-year reduction in customer claims, first touch resolution and time to resolution. While we're not satisfied with where we are in our business improvement journey, I'm confident our North American leadership team has taken the proper steps to build a predictable improvement road map that balances growth, innovation and profitability. The benefits of these initiatives are clear in the P&L. Better customer service, combined with reduced employee turnover and increasing tenure in our employees is driving meaningful improvement in labor expense as a percent of revenue in North America. In total, North America operating margins are up 200 basis points year-to-date and 240 basis points versus the third quarter. Turning to DRS and AMS. 24% organic growth over the last 12 months and 18% organic growth in the quarter was driven by strong volume growth and new customer additions in both product offerings. This progress has allowed us to achieve our 2023 target of 20% of trailing 12-month revenue, one full quarter in advance of where we originally expected it to be. In DRS, we added thousands of new locations in the quarter across each of the segments in a wide range of end markets, including gas stations, restaurants, grocery stores and retailers. These additions include conversions of existing customers as well as new customers through both exclusive negotiations and competitive bids as we expand our addressable market. Our healthy backlog of new locations support our revenue outlook for future orders. By providing working capital improvements and bank account simplification through our tech-enabled solutions, we are increasing the value proposition beyond our traditional safety and security offering. We are prioritizing our commercial efforts on upgrading our sales teams with a focus on solution-based selling. We continue to have success growing our DRS pipeline, up sequentially and over prior year, representing millions of dollars in potential annual recurring revenue. In AMS, we are leveraging our existing networks around the world to add additional revenue and density. In France, we are planning the addition of two new banks on to our existing platform in early 2024, and in the U.S., we're deploying new ATMs in a major regional convenience store chain that will improve both density and transaction volumes. AMS continues to gain momentum in Europe and the rest of world where revenue mix benefits of AMS and DRS are clearly visible in our margin performance. Year-to-date, operating margins in Europe are up 90 basis points and Rest of World segment margins were up 30 basis points despite the impact of the lower global services revenue I mentioned earlier. We continue to ramp our pipeline globally with both financial institutions and independent ATM operators. Latin America remains a significant opportunity for AMS in the medium and long-term, and our business development teams continue to add multiple customer outsourcing pilot projects for evaluation. A proof point of our momentum is demonstrated by the recent award from a large multinational bank in Chile that plans to outsource its entire ATM network to us. I'm proud of the progress we've made in the operating model in the first nine months of 2023 by growing AMS and DRS and driving cost productivity through the Brink's Business System. While the improvements in the business are clear in the financial results, I believe we’re still in the early stages of our transformation and excited about the prospects that remain in front of us. Before I hand it off to Kurt, I’d like to quickly recap our consolidated results on Slide 5. Organic growth of 6% was supplemented by 3% growth from acquisitions. FX was a headwind in the quarter of 1%, slightly more impactful than was expected given the strength of the dollar since our last earnings call. At the segment level in North America, organic growth was slightly down due to lower revenue from our global services business, profitability enhancing, customer portfolio optimization, and the impact of customer conversions from traditional CIT to DRS. Latin America delivered 24% growth and Europe was up organically 6% behind strong AMS and DRS growth. The Rest of the World segment had strong AMS and DRS growth as well that did not fully offset the organic decline driven by the global services headwinds I mentioned earlier. Operating profit margins were up 230 basis points and adjusted EBITDA was up 220 basis points driven by benefits from productivity, pricing and better mix from volume growth in AMS and DRS. $1.92 of EPS reflects higher operating profit and the benefits for better cash management, partially offset by higher interest expense. We remain on plan for the year and continue to deliver consistent operating results and build upon the momentum in AMS and DRS. I’m encouraged by our progress in the quarter and excited about the future as we transform our business to higher margin, faster growing offerings, and a performance driven culture that’s focused on consistent operational improvements in service, quality, delivery and cost productivity. I’ll now hand it over to Kurt, who will lead us through the financial details in addition to more specifics on our free cash flow performance, capital allocation plans and our rest of year guidance. I’ll then return for a few closing comments. Kurt?
Kurt McMaken: Thanks Mark. Beginning on Slide 6. Organic growth was split roughly evenly between cash and valuables management and AMS/DRS. As a reminder, customers will move between these two organic lines as legacy customers convert from traditional CIT and ATM replenishment offerings into AMS and DRS offerings. This was also the final quarter of acquisition revenue from NoteMachine, which will roll into the organic result of AMS/DRS starting next quarter. Organic revenue growth from pricing and AMS/DRS volume was partially offset by translational FX headwinds primarily in Latin America. Shifting to operating profit. $72 million of organic revenue became $49 million of organic operating profit for an incremental margin of 68% in the quarter. The high flow through was driven by three main items. First, cost productivity initiatives leveraging the Brink’s Business System. Second, the benefits of revenue mix now with 20% of revenue coming from AMS and DRS, and finally, the continued benefits of the restructuring program we announced in 2022. The quarter also benefited from the lapping of a large loss event and other corporate expenses in the prior year that we don’t expect to repeat in the coming quarters. FX translation reduced operating profit by $15 million. The high flow through impact from currency was due to headwinds in the higher margin Latin America segment, partially offset by benefits in the Europe segment. Looking at the current FX rates, we expect this high margin flow through from FX to continue into the fourth quarter. Turning to EBITDA and EPS on Slide 7. Starting with our operating profit and walking left to right. Third quarter interest expense of $54 million was up $19 million versus last year, primarily due to expected higher interest rates year-over-year. Tax expenses were $41 million with an effective tax rate of 30% in the quarter, down 30 basis points from our full year 2022 rate. The category other of $18 million primarily relates to higher interest income as well as gains on the sale of certain marketable securities in the period as we position our assets to generate the best returns for our shareholders. $91 million of income from continuing operations on a reduced weighted average share count of 47.1 million shares equates to $1.92 of earnings per share, up 39% over last year. On the right side of the page, working back to EBITDA, depreciation and amortization were $53 million, up $8 million versus the prior year due primarily to increased amortization from the NoteMachine acquisition. Non-cash stock-based compensation expense and other includes the elimination of the marketable security gains I mentioned earlier, as well as lower stock-based compensation in the quarter. Third quarter adjusted EBITDA of $231 million and margin of 18.8% was the best third quarter in our recent history as we continue to drive EBITDA margins towards our mid-term goal of 20%. Turning to free cash flow on Slide 8. Looking at the chart on the left hand side of the slide, you can see that we are driving a step change in free cash flow generation. Trailing 12 month free cash flow is approximately $100 million better than any of the prior five years with conversion that is already over 40% of adjusted EBITDA. On the right hand side of the slide you can see the drivers. At the midpoint of our guidance, EBITDA is expected to grow about $100 million or 13% on the year. Margins have expanded 80 basis points year-to-date as we drive cost productivity through the Brink’s Business System. As we execute our strategy for AMS and DRS, we are targeting capital expenditures that remain flat in dollar amount to the prior year. With over 20% of our revenue already under AMS and DRS contracts, we can leverage our asset base more efficiently, reducing stops and increasing the capacity of our network without ramping investments in CapEx. One of the areas we have seen the most progress this year is in working capital management. With the addition of free cash flow to our annual incentive plan for the top 200 plus leaders in the organization, we have seen a shift in focus across most areas of working capital. The primary area of progress has been reducing accounts receivable by driving down day sales outstanding or DSOs. DSOs were down sequentially and year-over-year in each of our segments this quarter, despite year-to-date revenue growth of 9%. Our progress in these areas and the visibility we have to our cash interest and tax payments coming in the fourth quarter give us the confidence to raise our full year expectations for free cash flow and conversion above the midpoint of our previous guidance. I’m proud of the hard work that our teams are doing to deliver these results and I’m confident that we have more opportunities in the coming years to continue to improve our free cash flow profile. Turning to Slide 9, let’s review our capital allocation framework designed to maximize value creation for our shareholders. Our priorities remain unchanged. Starting at the top, we have an attractive menu of organic investments that will increase revenue growth, profitability and ultimately future free cash flow. These investments are primarily OpEx-related and are handled within our broader profit guidance. We are targeting cash CapEx to remain below 4% of revenue for 2023 and as we discussed with AMS/DRS growth, we believe we can leverage our existing assets across less stops and increase our capacity as we add new customers. Our leverage target remains 2x to 3x adjusted EBITDA. In the third quarter, we reduced net debt by about $60 million and our leverage by 2.10x to reach the top end of our target of 3x. We expect to be below 3x times at the end of the year through additional EBITDA growth and continued free cash flow generation. In capital returns, year-to-date we have completed $106 million of share repurchases, which represents about half of the $216 million in free cash flow we have generated so far this year. We plan to balance repurchases against our leverage target as we end the year, which will likely translate to fourth quarter repurchases slightly below the $88 million we completed in the third quarter. We continue to see share repurchases at our current valuation as attractive, and we plan to remain active with our repurchase activities in the fourth quarter and beyond. The new $500 million authorization from our Board supports our commitment to share repurchases beyond 2023, and we plan to execute the program through a combination of systematic purchases as well as opportunistically when prices are attractive. On the M&A side, our philosophy remains the same. Given our size and brand presence in our industry, we are always evaluating strategic opportunities that could improve our business. Most of our targets are prioritized in the AMS/DRS space. These potential deals would be focused on acquiring digital capabilities that expand our organic growth opportunities in DRS or that add customers and expertise in ATM managed services. We expect these deals to fit within our current capital allocation priorities and free cash flow profile. In summary, we remain focused on the capital allocation priorities in our business that drive profitable growth and compound cash generation and ultimately maximize shareholder value. Turning to Slide 10, you can see our guidance. The guidance accurately reflects our remaining opportunities in the year, balanced by economic uncertainty, the strengthening U.S. dollar, and impacts of the do-overs in Europe. We expect revenue to be around the midpoint of our guidance with organic growth of approximately 9%. Strong growth in AMS and DRS is expected to offset the impact of increasing foreign currency and BGS headwinds. Operating profit, EBITDA and EPS improvement is driven by strong pricing, mixed benefits from AMS and DRS growth, cost productivity and the benefits of restructuring actions announced in 2022. These are expected to be partially offset by the margin impact from increasing FX translation headwinds. With structural working capital management improvements well underway and better line of sight to any additional cash payments in the fourth quarter, free cash flow is now expected to be between $350 million and $375 million with conversion of at least 40%. With that, I’ll turn it back over to Mark for a few closing comments.
Mark Eubanks: Thanks, Kurt. As we approach the last few months of the year, we remain focused on fulfilling our commitments in the near-term, while continuing to advance our long term strategy. So far this year, we’ve improved the quality of our revenue, with over 20% of our base now being in higher margin AMS and DRS revenue. Second, we’ve improved our profitability through the global deployment of the Brink’s Business System, leveraging our lean culture, resulting in continued repeatable efficiency initiatives across our global business operations. And third, we’ve improved our cash generation by delivering CapEx efficiency and diligent working capital management. We continue to consistently deliver on our commitments, and I’m confident we remain on the right path. I look forward to building on the momentum we’ve generated and execute on our strategy into 2024 and beyond. Now let’s open up for questions. Operator?
Operator: Yes. Thank you. [Operator Instructions] And the first question comes from George Tong with Goldman Sachs.
George Tong: Hi. Thanks. Good morning. You saw 4% organic growth in your cash and valuables management business in the quarter. Can you discuss how much of that growth came from pricing actions and how volumes progressed over the course of the quarter?
Kurt McMaken: Yes. Hey, George, it’s Kurt. Let me just kind of address kind of the price volume mix. We typically target in the 50-50 range for price volume. And last year what we saw – what we’re seeing consistent this year is that we’re heavier on the price versus the volume piece. And we expect that to be the case for the full year. So it’s really a consistent message. And what’s driving that is we continue to see inflation in the business that we are working to overcome with price and make sure that we’re not only overcoming the inflation, but maintaining margins. I’d say, too, we continue to have really a lot of opportunities with strategic pricing going forward, as we’ve talked about. And so we think that this continues going forward as we look ahead.
Mark Eubanks: Hey, George, this is Mark. The only other thing I would say is, as we think about the strategic pricing piece, that’s going to be as we look at different segments within specific markets to ensure that we’re getting equivalent returns customer to customer. I think the other thing that Kurt mentioned is inflation does continue to be persistent globally, and that’s why our pricing posture continues to be strong there. And frankly, we thought, like most, that inflation would subside. And we thought, as we talked about in Q3 and in Q1 that our pricing might subside, but we would remain vigilant in the market in the event that inflation continued and it has. And so have we.
George Tong: Okay. Got it. Just to clarify, of the 4% growth, is it the 50-50 split between price and volumes currently?
Mark Eubanks: No, it’s not. It’s skewed more heavily toward price. I think that was the same discussion we had in Q2.
Kurt McMaken: So the takeaway, George, it’s a consistent message. We haven’t seen really a change. We expect that to be that way for the full year.
George Tong: Okay. And then what about the volume trends over the course of the quarter? Were they stable, improving, or inflecting lower?
Mark Eubanks: Sure. Maybe I should just to do that. Maybe I can spin a little bit around the region, George, the regions to give you some color. First, in North America we continued to see good momentum in DRS and continue to have a healthy pipeline there, a pipeline, as I mentioned, up 20% and those activity and bookings continue to exceed prior quarter and prior year. So that’s all good. Obviously very strong margin improvements. We’re very happy with that 200 bps year-to-date and 240 basis points Q3 on Q3. I wouldn’t say we’ve seen demand change much in North America in the marketplace, although I think what we did see was a very strong GDP print, which may be in some cases you can see a little bit counterintuitive some of the retailers that you’ve seen out there. But from our side we really haven’t seen much demand change. And the other good thing here is our leadership team is clicking very well here in the region. LatAm again a good pricing market, a lot of inflation in that market, particularly as you think about foreign exchange and the impacts there. But certainly we’re seeing markets that have really good penetration. DRS continues to be healthy. We’ve got several large customers doing AMS pilots with us today where we actually have full stack services in pilot of multiple ATM units to continue to drive there. We are seeing a little bit, as we mentioned in Q1 and Q2 continued to see some economic headwinds, let’s say in Brazil been well documented, I think as they’ve lowered interest rates and continue to try to manage their fiscal policies there. Obviously some continued – as I mentioned in the comments, continued weakness in our global services business, which is really precious metals around the world that’s been equally, let’s say soft or softer than we expected with the movement of gold, silver, kind of central bank movements. But again, those are all ebbs and flows that we see in this business from time to time. In Europe, things going very well despite some of the reports, I'd say, on their GDP. DRS, AMS continued to grow well. We continue to – as I talked about, we're adding two new banks on to our network in France, which is, again, really good reinforcement of our strategy, but also of our execution. And I think that's something we continue to be proud of. And in rest of world that segment again, probably the highest mix of global services business in that region, whether that's mining or central bank movements of currency and also exchanges moving gold and silver and so. That's one area where, again, we've seen the kind of macro weakness with that. All that being said, largely, China has been a big player impact, let's say, on all of the movements in the region. On balance, though, we feel like from what we can see looking into the fourth quarter, and you've seen our guidance reflects that. We think we've got the right amount of AMS and DRS growth as well as our core business growth to offset that softness to, again, continue to meet our commitments.
George Tong: Got it. Very helpful. And then a quick follow-up on the cost side. Productivity and cost initiatives contributed to 200 bps of margin expansion in the quarter. Can you elaborate on additional levers to drive productivity gains in which geographies you're focusing most of your efforts on to improve margins?
Mark Eubanks: Sure. I'd say we're focused everywhere, George. And one of the biggest levers for us, again, as we talked about, is this shift of our business model from a scheduled pickups and services to a managed services environment, whether that's with ATMs or whether that's in the retail environment with DRS. Those are – as we drive more penetration there, we continue to not only create more productivity, i.e., more revenue across our existing cost base, but also allows us to be more efficient with our CapEx as we go forward. The other really significant lever, again, we've mentioned last quarter is the stabilization of our labor force. And that really is predominantly a North America issue, but we see that in other markets as well, where we've been able to create more tenure with employees that allows us to drive more productivity and, frankly, avoid the churn of hiring and retraining of employees.
George Tong: Got it, very helpful. Thank you.
Mark Eubanks: Yes, great, thanks George.
Operator: Thank you. [Operator Instructions] And the next question comes from Tobey Sommer with Truist.
Jack Wilson: Hey, good morning. This is Jack Wilson on for Tobey Sommer. I have a quick question, a couple of sort of one-time events, sort of the heist in Canada went on would that be a 4Q impact? And then sort of looking out to 2024, with sort of the additions made in France, can we expect the Olympics to be a sort of one-time driver in the summer?
Kurt McMaken: Yes. So Jack, let me make sure I understand the question on the Toronto situation. So that was something that impacted our Q2 results. We had an event last year in Q3 that was in Los Angeles that impacted our Q3 results. So we have a year-over-year lower loss impact. It's one reason why you're seeing a lower corporate cost come through in the quarter. But I want to make sure I'm addressing your question.
Jack Wilson: So I was more interested if the lawsuit that was filed?
Kurt McMaken: Yes. So simply with that is like we do in every situation, and we're really just trying to pursue recovery, but we don't comment on ongoing cases.
Mark Eubanks: Maybe to answer any cost that would be – a part of that are fully contemplated in our outlook for Q4.
Kurt McMaken: And we do not have any recovery in our outlook for Q4.
Mark Eubanks: Yes. Second question was the Olympics. Yes, I'll take that. This is Mark. Yes. Certainly, we would expect more traffic, more travel into France, particularly as a localized impact for our business. I don't know how much that would impact the broader continent. But certainly in France, we would expect to see increased activity and increased volumes during those periods and leading up to those periods. Particularly around the ATM managed services space.
Jack Wilson: Thank for the color there. And sort of on the AMS and DRS front, so we mentioned you reached over 20% in the trailing 12 months revenue. Is there sort of a ceiling on that, that you see in the near-term and maybe the long-term as a share of total revenue?
Mark Eubanks: Yes. No, I don't see that. In fact, we expect to continue to march that number up as we – that's our focused area. It's where our preferred services would be. Listen, we'd love to be 100%. I don't know that that's always going to be possible because certain customers will want some of these specific services. But we expect that number to continue to grow. And maybe it bumps up and down along the way, a point or two up, a point or two down, but we think that the continued upward trajectory would be again, going up and penetrating a higher percentage of our business. Maybe you could see some seasonality in Q4, just given the retail environment, there's not a whole lot of work gets done in stores during the shopping season around Christmas, particularly in Latin America, North America and Europe, maybe in Asia similar around Chinese New Year that you might see that bump around, but nothing that we would say would be – that wouldn't continue to take us upward trajectory. So no ceiling.
Operator: Yes, thank you. And this concludes the question-and-answer session. I would like to turn the call over Mark Eubanks for closing comments.
Mark Eubanks: Great. Thank you all for joining us today. We appreciate all your support and we look forward to speaking with each of you soon. Have a great day.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation and you may now disconnect your lines.